Operator: Good day, everyone, and welcome to today's Clean Energy Fuels Third Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note, this call is being recorded. [Operator Instructions] It is now my pleasure to turn the conference over to Robert Vreeland, Chief Financial Officer. Please go ahead.
Robert Vreeland: Thank you, operator. Earlier this afternoon, Clean Energy released financial results for the third quarter ending September 30, 2025. If you did not receive the release, it is available on the Investor Relations section of the company's website, where the call is also being webcast. There will be a replay available on the website for 30 days. Before we begin, we'd like to remind you that some of the information contained in the news release and on this conference call contains forward-looking statements that involve risks, uncertainties and assumptions that are difficult to predict. Such forward-looking statements are not a guarantee of performance, and the company's actual results could differ materially from those contained in such statements. Several factors that could cause or contribute to such differences are described in detail in the Risk Factors section of Clean Energy's Form 10-Q filed today. These forward-looking statements speak only as of the date of this release. The company undertakes no obligation to publicly update any forward-looking statements or supply new information regarding the circumstances after the date of this release. The company's non-GAAP EPS and adjusted EBITDA will be reviewed on this call and exclude certain expenses that the company's management does not believe are indicative of the company's core business operating results. Non-GAAP financial measures should be considered in addition to results prepared in accordance with GAAP and should not be considered as a substitute for or superior to GAAP results. The directly comparable GAAP information, reasons why management uses non-GAAP information, a definition of non-GAAP EPS and adjusted EBITDA and a reconciliation between these non-GAAP and GAAP figures is provided in the company's press release, which has been furnished to the SEC on Form 8-K today. With that, I will turn the call over to our President and Chief Executive Officer, Andrew Littlefair.
Andrew Littlefair: Thank you, Bob. I'm pleased to report that our business delivered another strong quarter. For the third quarter, we posted $106 million in revenue, sold 61 million gallons of renewable natural gas and generated $17 million of adjusted EBITDA. We ended the quarter meeting our expectations in line with the raised guidance for 2025 that we announced in August with $232 million in cash and short-term investments and maintaining a strong balance sheet with ample financial flexibility and capacity to fund growth. Today, I will provide updates on our downstream fueling business, RNG's opportunity in the heavy-duty truck sector and progress in our upstream RNG production business. I'll let Bob provide more detail on our financials and our reaffirmed full year outlook. Our downstream fueling business continues to perform well. Transit and refuse remain steady contributors, reflecting long-standing customer relationships and our ability to deliver clean, affordable fuel day in and day out. For over two decades, natural gas trucks and buses have delivered cleaner air and lower emissions to these fleets in the cities they serve. On the refuse side, we currently have 140 different companies ranging from national leaders like WM and Republic Services, many regional companies around the country, 309 fueling sites, and we fuel the buses of transit agencies from New York City to L.A. and many in between. We are well-positioned to support additional fleets in their adoption of ultra-clean RNG. Clean Energy also continues to support transit agencies that are following California State incentives to explore hydrogen alongside RNG. In late September, we announced we were awarded the contract to design, build and maintain a second hydrogen fueling station for Foothill Transit. This extends our 20-plus year partnership with the agency and complements the RNG fuel fleet Foothill already operates. The new site will support an initial 19 hydrogen fuel cell buses. We also won awards to build hydrogen stations for the cities of Riverside and Ventura transit agencies. The largest opportunity for our downstream fueling business continues to be heavy-duty trucking. Approximately 250,000 new Class 8 heavy-duty trucks are sold each year in the U.S. and Canada. The heavy-duty sector is tasked with providing critical goods movement services across our economy. Meanwhile, the sector has been facing challenging freight rates, uncertain policy regulations and continued demand from shippers to lower emissions in this hard to decarbonize segment of the value chain. As you know, overall sales of heavy-duty trucks has been significantly lower over the last year or two compared to most years. Battery electric and hydrogen face significant challenges for heavy-duty trucking. RNG, on the other hand, is low NOx and has low to negative greenhouse gas emissions. It does this at a lower cost of ownership than even diesel. The engine technology, infrastructure and reliable supply of clean fuel are here today. And at Clean Energy, we are pursuing this opportunity on multiple fronts. In September, Pioneer Clean Fleet Solutions launched as the first leasing company focused on low-carbon heavy-duty vehicles with next-generation CNG trucks as the focus. Clean Energy, alongside Cummins and Hexagon Agility partnered with Pioneer to support another pathway that lowers barriers for fleets to adopt RNG-powered equipment. Just last week, we expanded our Class A demo truck program with a 2026 Freightliner Cascadia Gen 5 day cab equipped with the Cummins X15N. Our truck was unveiled at the American Trucking Association's Conference to high praise from the Senior Editor of Transport Topics, a leading trucking publication who did a test drive. Demo truck will rotate among carriers so they can experience the X15N's performance across real routes in our fueling network. This builds on the success of our first Peterbilt X15N demo launch last year, and that continues to be in rotation around the country. Since Freightliner has the largest overall market share in the heavy-duty space, the demand to get in the queue for this new demo truck has been very high. Turning to our upstream RNG production business. While RIN pricing has stabilized, LCFS credit prices continue to face some headwinds impacting segment profitability. We expect CARB's program changes, which are already in effect to tighten the market -- to tighten the market and support gradual price improvement in 2026 and beyond. The 45Z Clean Fuel Production Credit is an important value driver for dairy RNG that recognizes the fuels negative emissions benefit. We continue to await Treasury's finalization of the 45Z rules and credit values, which we expect in the next few months. We plan to begin to monetize our 2025 45Z credits once those rules are finalized. Meanwhile, we are controlling what we can control, project execution and production improvement. I'm pleased to report that our two largest dairy projects, one in Texas and one in Idaho have recently begun initial operations. We will be announcing more specifics soon about these exciting developments. This brings our total projects in operation to 8. We continue to be focused on optimizing production across our portfolio to increase our own supply of negative carbon RNG for our network. 100% of the fuel that we sell in California's RNG and the average carbon intensity score of that fuel is a minus 194. So that's impressive. In addition, we broke ground on three new dairy RNG projects under our development agreement with Maas Energy Works. These projects span 6 dairies across South Dakota, Georgia, Florida and New Mexico and are expected to produce 3 million gallons of RNG annually once fully operational. In summary, our business fundamentals remain solid. The downstream fueling business is steady and well-positioned for growth. And on the upstream side, we're executing and scaling. Clean Energy is uniquely positioned with the largest RNG fueling network, a substantial supply of RNG from our own operations and from third parties and a team that knows how to deliver for our customers. We believe our formula of practical decarbonization at a lower cost per mile than diesel will continue to resonate with fleets and shippers that need solutions they can deploy today. And with that, I'll hand the call back to Bob.
Robert Vreeland: Thank you, Andrew, and good afternoon to everyone. The third quarter of 2025 was another good quarter on $106.1 million in revenue versus $104.9 million a year ago. Last year's revenue included $6.4 million in alternative fuel tax credit revenues and the alternative fuel tax credit is not in place for 2025 as it was not extended past 2024. But putting the alternative fuel tax credit aside, the increase in revenues over last year's third quarter was 8%, primarily driven by increases in fuel sales, along with a rise in station construction sales. On a GAAP basis, our net loss for the third quarter of 2025 was $23.8 million versus $18.2 million in 2024 with the 2024 net loss benefiting from the $6.4 million in alternative fuel tax credits not applicable to '25. And as well, our 2025 GAAP net loss included $3 million in net incremental costs for a couple of onetime items, one of those being $5 million in incremental accelerated depreciation expense that was tied to our pilot stations, bringing that total depreciation charge in line with our initial estimates. And the second onetime item was a $2 million nonoperating gain from the liquidation of a noncore investment. These two items did not impact adjusted EBITDA. Speaking of which, our adjusted EBITDA for the third quarter of 2025 was $17.3 million and reflects similar and steady trends from our recent second quarter of 2025 with good fuel and service margins plus an improvement in our upstream dairy negative adjusted EBITDA. Last year, adjusted EBITDA of $21.3 million, of course, includes the $6.4 million of alternative fuel tax credits. When excluding the alternative fuel tax credits from '24, the improvements in 2025 over '24 continue to come from greater fuel volumes, including both conventional natural gas and RNG, particularly a higher concentration of low CI dairy RNG, along with lower operating expenses from a year ago third quarter. These improvements helped to offset the effects of lower RIN pricing from a year ago, where you can see the RIN revenue was down $2.8 million versus last year. We generated cash flow from operations again in the third quarter, and our cash and investment balance of $232 million that Andrew mentioned is our balance after making a $12 million contribution of capital into our dairy RNG joint venture with Maas Energy Works in the third quarter. And lastly, you'll note that we maintained our 2025 outlook, which we had raised back in August, and we feel good -- we feel that we're in good shape in maintaining that outlook. And with that, operator, we can open the call to questions.
Operator: [Operator Instructions] We'll take our first question from Eric Stine with Craig-Hallum.
Eric Stine: So maybe just starting with the RNG upstream business. So it sounds like you've got 8 operating right now. Can you just give us kind of the thought or target, maybe run rate of volumes that you expect to exit '25? And as you think about this longer term, I know that market has changed a bit. You've got a lot of supply from third-party sources. So just kind of curious how you think about that when you look out multiple years. At one time, you had a pretty high target for what you might ultimately produce upstream. Curious where that stands now.
Andrew Littlefair: So you're bringing up the production rates of the 5 that came online, we call them the [ Renuco ] projects. But you'll exit the year somewhere between 5 million and 6 million gallons. And next year, you'll double it, close to doubling it. And eventually, you'll be closer to 20 million gallons once all those projects come on and now I'm going out. That's once those Maas projects are on. And so now I'm going out to 2027. Eric, you're referring to what we came out with almost 5 years ago, 4.5 years ago, the 100 million gallons, which by the way would have taken another $1.2 billion or $4 billion. And we pulled that back long ago when we looked at the credit pricing and some of the current situation. But what I will say is we like where we are. We like having that amount of fuel that we control. But we're very big in the business, as you well know. And we have 80 to 90 different suppliers. So we remain -- we're moving still about half of all the RNG into transportation in the industry. We continue to be at the focal point of that. Everyone that needs RNG to transportation often has to come to us. So we like our position. We feel like we've made prudent investments at this point. We have to get those up and running correctly. We're starting to see an improved production rates, which will continue to get better and better, and we're starting to feel much better about those early projects. We take great part in looking at the production that's going on at our first project, Del Rio that's been up and running a while, and that thing is hitting nameplate and it's doing very well. We're very proud of that. And we're seeing -- we're beginning to start seeing some significant increases in production at the others. As I mentioned in my prepared remarks, Eric, our two biggest projects, one of which we own 100% of, they're just now beginning to inject. So those are big -- one of those produces somewhere around 5 million gallons and the other around 3.6 million, and they're just now coming on. So we like where we are, and we'll see how that kind of all plays out as these -- as they develop here in '26 and in '27.
Eric Stine: Yes. And you mentioned, I know last quarter or earlier in the year, you kind of set it as an objective to improve the performance at the plants and you have made progress. You did mention that you've got a few more steps to go. I mean, any clarity there? I would assume or should we assume that those are pretty much -- you just kind of have to go through steps. It takes time rather than being something that's a significant investment.
Andrew Littlefair: That's right. That's right. It's fine-tuning. It's working with the farmer. It is all those things. There aren't big CapEx requirements to get them right. It's really just kind of bringing it along, getting the team working exactly right. So going through the first winter and figuring out where certain other items need to be winterized is kind of mundane things, but they're important. And what's interesting, Eric, is you really do tune them up from -- I know when they first come on, they're more like producing about half of what you thought. And next thing you know, they're at 70, 75, but they will begin to pull on up to nameplate.
Eric Stine: Got it. Last one for me. Just -- I know it's early days still, but the Pioneer Clean Fuel Solutions. Just any thoughts on initial interest, what you think that might do to spur X15N adoption, just kind of initial impressions.
Andrew Littlefair: Well, I'm told -- look, I love having another interested party out working with our customers and with potential customers. I think that's really powerful. We know this crowd. I like the fact that we're engaged in standing that company up alongside Cummins and Hexagon Agility. I think that's good alignment for us. I'm told they have their first deal in the works. I'm not going to say any more than that, but they have maybe the first paper out circulating and that they've already made -- had meetings with 20 different fleets. I think they did some -- showed the flag pretty well down there in San Diego at the ATA. So I like the fact that you have a very focused group working just on RNG, just on natural gas trucks, understands the nuance there on the leasing. And so we're working hard hand in glove with them, our sales team as is Hexagon and Cummins. So we'll see how they do.
Operator: Our next question comes from Rob Brown with Lake Street Capital Markets.
Robert Brown: Sticking with the 15-liter kind of ramp rates and how that's developing in the market. Good to see the Pioneer project. But what's sort of the other sort of timeline and development of the 15-liter ramp? How do you see it at this point with sort of the market environment?
Andrew Littlefair: Well, I think there's been -- as I mentioned in my prepared remarks, I mean, the market has not been exactly favorable, right? The freight rate thing is real. That's a real overhang in the trucking business that it has affected purchases of new trucks. So that's just something you wish can get worked off. I think you're going to have softer rates that will begin to firm. But as I read the material, it looks like that could take a good part of 2026. So that's just some headwinds there that I'd rather not have. It's hard to get people to make a move toward not only buying new equipment but buying new technology when they're worried about tariffs and import duties and supply chain and their freight rates. Now having said that, think that most in the industry have seen that there's kind of a shaking out. I mean, as you take stock of what occurred down there at the ATA Conference in San Diego, I mean, it's clear that there's been a sorting out of the technology. I mean, look, I'm not wishing ill on anything, but I think that the electric and the hydrogen technologies really have gotten knocked down a peg because of their reliance on certain of the regulations and such, certainly at the federal level. And so now it's very clear that if you're a trucker, you have diesel, renewable diesel or you have RNG. And what's coming through is, Rob, that the fleets and the shippers still want sustainability, still want to be green, still want to decarbonize, but it has to make economic sense. That's what's different now is that this has to stand on its own bottom. Now the good news for us is we have a technology and we have an engine that's here today and can be delivered today that can give returns. I mean, with our fuel pricing and with the economics associated with the incremental cost, we can get these fleets a 2-year payback, 2.5-year payback on the equipment, and then they really have significant savings as they keep that truck up to the typical 5 years. So we like our positioning from that point of view. Now we've had fleets such as Walmart, Amazon, UPS, FedEx, Saia, Knight-Swift, Food Express. I mean they've all purchased the new X15N. So I like the breadth. Now we need more to acquire, and we need those fleets to really engage fully. But we're seeing some breadth of people beginning to take that in, get comfortable with it. And then we hope there'll be -- those kinds of fleets buy a lot of trucks. We hope that as they like what they've got and they're operating well, that we'll see increased adoption in the coming years. But we're working hard with making sure that we're getting good exposure to the X15N with the largest fleets in America. And so far, most of them have taken some.
Robert Brown: Okay, great. And then on the Maas Energy Development Agreement, how much is the CapEx requirement on your side for the three facilities? And then I guess, what's sort of the pipeline on the Maas side that you could see additional facilities on?
Robert Vreeland: We had -- it's about $35 million. We've spent $12 million over in the third quarter.
Robert Brown: Okay, good. And then just in terms of the additional potential projects with Maas, is there still a pipeline there or do you feel like this is sort of it from what you see right now?
Andrew Littlefair: Well, Daryl is a busy guy. So we've got those projects that I mentioned, the three projects. We constantly work with Daryl to see -- there's a couple of others that we had looked at very closely. But just with the given credit situation, they didn't seem quite like we'd like and Daryl understood that. So we'll continue to look at those. We like the fact that he's a very good operator and brings these projects on quickly and efficiently. So we'll see.
Robert Vreeland: Yeah. And we'll have about -- well, for this -- what we have in front of us, so $35 million was in the cards for this year, but we'll have about $85 million in total for the plan that's in front of us with him.
Operator: Our next question comes from Derrick Whitfield with Texas Capital.
Derrick Whitfield: Congrats on a solid update, guys. Maybe starting with the downstream. You guys announced a flurry of supply agreements last week. Could you speak to what led to that step change in activity and when those volumes will directionally start to flow through?
Andrew Littlefair: Well that -- in many ways, we have hundreds and hundreds of customers, right? So at any given time, while we don't always announce all of them because sometimes they're just -- they're not as glamorous, let's say. Every year, we have a couple of hundred different customers that grow their fleet and renew contracts with us. And so you're getting a little bit of that mix in there. Now there were some wins. But I want to say that when you have the size of the network and the fact that we have about 800 or 900 customers under contract, there's a lot of activity kind of constantly. We had some extra transit properties in that release. We have quite a few new refuse customers and additions coming up right now. So I don't know if there's some sea change that just happened. It's just kind of the way our cycle tends to ebb and flow. But I do like the fact that we have a lot of activity, and that makes us feel optimistic about these fleets as they continue with the program.
Derrick Whitfield: Great. Understood. And then regarding the two larger projects that you guys have just brought on, could you offer maybe some directional thoughts on the timing of certification of environmental attributes, including rents, LCFS and 45Z credits I know that the LCFS backlog was quite extensive at one point, but just where is that? Where does that sit?
Andrew Littlefair: These -- let me handle it this way. And if I get too far out, someone will jump in here and save me. But these things take a while to really get up. So there's kind of a process for them to be -- to get into revenue production. I mean we're just now kind of taking care of the commissioning. I mean the Texas property is a few weeks ahead of the Idaho property. after about a month of operations. And so the EPA has been pretty -- is pretty fast after two to three weeks' time often that we're able to begin to certify to be able to get the RINs. Now the LCFS, there's a provisional and another kind of certification where at some point after time, we begin to participate and I guess, collect at about a minus 150, right? And then eventually, over time, we get the final processing from California, the LCFS. But that has taken on our Del Rio project, the better part of almost two years. Now we think that, that backlog has gotten corrected some. But I would say by the time you're really hitting your stride and all buttoned up with the certification process. I mean, it's a better part of 2026 for these projects before you're really done with that. Now you'll be receiving credits and being able to monetize credits, but not at their full potential.
Operator: Our next question comes from Matthew Blair with TPH.
Matthew Blair: Congrats on the strong results in the third quarter. You mentioned that you kept your 2025 EBITDA guide intact, which if I'm doing the math right, implies, I think it's $8 million to $13 million for the fourth quarter, even though the fourth quarter tends to be pretty strong for Clean. So I guess how should we think about this? I think in the past you've been reluctant to change your guide to late in the year and effectively provide single quarter guidance. But I guess, is it fair to think that there might be some upside to the 2025 targets or how should we think about that here?
Andrew Littlefair: Probably, I mean as you look at it, it looks like that we -- we're doing well. I don't think it's -- I don't think we're in a position to really now tick it up that at this point. But I think as you're looking at, you're saying, these guys are going to be certainly on the top end of the guidance or maybe a little bit beyond that. I mean that's reasonable if you thought that way. And we'll see how it performs. There's a lot of things at work here, but that's how I feel too.
Robert Vreeland: And we kind of agree that at that point, maybe you're micromanaging a quarter. And I think we feel good with that range that we put out there and where we sit right now to be comfortable with that and -- but we're not going to micromanage it.
Matthew Blair: Sounds good. And then just looking at your RNG volume growth this year, it's been a little variable. I think in the first quarter, it was down 13% year-over-year, second quarter up 8% this quarter, up 3%. I guess could you help us understand like why has it been so variable? Is that due to the supply that's coming to Clean that there's some variability in those volumes or?
Andrew Littlefair: Well, there was -- there certainly was in the first quarter, right, where there was cold spells throughout the country and all the RNG producers, the dairy producers were having execution difficulties because of that cold weather. So that you saw a bit of a drop. And then there was a bit of a rebound in the second quarter. We also have the biogas reform where gas was held at year-end. So then that kind of floods in. It came in -- well, in the second quarter, we had an uptick primarily from the cold weather in the first quarter. And so that was a little bit distorted in terms of its growth. And then I think the third quarter -- our third quarter here was maybe a little bit more normalized, if you will. So you've got -- yeah, so there's some variations in there.
Operator: Our next question comes from Betty Zhang with Scotiabank.
Y. Zhang: I first wanted to ask about maybe if you could give us a preliminary look at expectations for 2026. And in particular, if you could speak to volumes. Should we expect a pretty big step up given the -- your production of RNG that's ramping up? And as well, should we be accounting for the X15 gallons or is it still too early for that?
Andrew Littlefair: Betty, we're not going to -- history is the guide. We're not going to share today set our guidance for 2026. I mean I think if you go back and listen to what I said earlier on this call, I gave about as much guidance as we're going to give on the RNG from our end, right? And so in the scheme of things, it's a nice growth from our -- from where we've been to where we're going next year. But it's not a step change type thing. But go back and listen to that. I mean, basically, I said we're exiting the year around 4% to 5% to 6%, and that it will get close to doubling, right? That's from our RNG production. So that kind of gives you a thought for that. The adoption is hard to tell, Betty. And I don't have a crystal ball here. And I don't -- over the years, we've always -- we've liked -- we've worked hard to be in the high single digits. But it's just -- I think it's too hard to tell exactly how the adoption rate for the X15 is going to be for -- as I sit here today for next year. Over the course of the last several years with the 9-liter at Cummins, I mean we have seen dramatic adoption rates over time, but it takes time. And you're kind of in the early phase of that with the X15N, and there's a lot of uncertainty with regulations in California and the federal government. And so a lot of work yet we feel optimistic that you're getting the right fleets experiencing with it to get to increased rates of adoption. But I guess I'm crawfishing around Betty, no, I'm not going to give you an exact growth number, but it will be -- we should see increased rates of adoption in 2026. Let's put it that way. But of course, you're coming off of low levels of adoption right now with the X15N.
Y. Zhang: Okay. Fair enough. For my follow-up, I wanted to ask about the fuel margin. Looking forward to the next several periods, our view is that the WTI to Henry Hub spread should narrow or may narrow. So I just wanted to get a sense of how Clean Energy is able to kind of manage the fuel margin, what levers you guys could pull on that end?
Andrew Littlefair: Well, we -- Bob and I watch that as well very closely. And as you know that there's been a nice fuel margin throughout most of 2025. That's narrowed. Not only is it going to narrow, it has narrowed some from kind of historical differentials of the oil and gas spread to where you are today, right? You have $4.25 gas and $60, a little more oil. So you've come down to $15.1. Now we tend to think, Betty, that, that will be -- that mid-teens to [ 15, 16, 17:1 ] is probably a good spread. And with that, we're in -- that's good for us. That's very good for us. And we can maintain the kinds of fuel margins that we've seen this year in that. Now what's difficult is if you have $40 oil and you have $4 natural gas or $4.50 natural gas and $35 crude. And I guess our view is, as we look out that we see the relationship between oil and natural gas kind of staying in this 15:1 spread where you are right today. I think that's pretty much where you're going to be. I mean frankly, Betty, I think you may see oil come down some. I mean that seems to be -- that could be -- but I don't think you're -- right now, you're seeing sort of winter pricing on the gas curve. So that gas cost should come down. And so I think you'll -- as I said, I think the 15:1 is probably 15, 16:1 is probably a pretty good spread.
Robert Vreeland: Along with the other drivers that we have within our margin of RIN and LCFS pricing around that. So we don't have everything all concentrated in one of the [ beauties ].
Andrew Littlefair: No, we have a lot of the West Coast, the West Coast, the refined products and diesel. I mean diesel today in California is $5.25. That has to get factored in, too.
Operator: Next question comes from Dushyant Ailani with Jefferies.
Dushyant Ailani: I just have one quick one. I know that as you guys kind of ramp your RNG upstream next year, 2026. I know there are a bunch of puts and takes, 45Z, LCFS, D3. Just trying to figure out what are some of the sensitivities to think about for that segment to get to EBITDA positive. Any kind of thoughts, color that you can share? Is that a 2026 story, 2027 or do we need to see D3 or LCFS or 45Z to kind of get to those levels?
Andrew Littlefair: Well, you got a lot of things. Let me start and then Bob, where I mess up, you could chime in. We do think that the LCFS program, as outlined by CARB is going to lead over time over next year to a strengthened LCFS price. Now it's anybody's guess exactly where it is, but our partners and us, we think that '26 is going to be better than '25 and '27 is going to be better than '26. And so that should be strengthening. I mean, CARB believes that the LCFS by the time you get to '28, '29 could be back to where we were at $120 to $135 to $150. So that's good. Maybe we've seen the bottom, and that should be strengthening. So that's good for our business. We -- as I said on our call, we have to work on what we control is we have to get the capacity and the production levels up at the plants. And we feel confident now that we've really taken firmer control of the operations. We'll get there. But that's important to us for these things to perform correctly as about -- almost as important as what's happening on the environmental pricing side. So we've got to get these things -- feel very good about these two large projects that we just brought on now because they've commissioned well. And I think we learned from some of our earlier projects. We've got to get them all -- all these projects performing better. And then you really -- then you can really see them perform like they should. And you'll have strengthening LCFS prices over time. I think RIN's, I would say maybe the cautious view there is we've seen those stabilize. And I'm not smart enough to figure out the small refinery exemptions factored in into the maybe a potential change in the RVO. Some have said that it could lead to RIN strengthening some. I don't know. But we sort of like where the RIN is now because it's stabilized at $2.30 or so, and that works fine for us. So productivity enhancements on our plants, and we do see a strengthening of the LCFS credit in the future.
Robert Vreeland: And if there's -- and then the production tax credit as well, 45Z, if that changes in our favor, the guidance comes out from the treasury, if they -- yeah, depending on where that comes out, that could be some upside. But I think that, as you said, Andrew, I mean, these projects at least are getting through that ramp-up phase, and that's really -- it's kind of about that kind of timing to get through the period, which going into '26, a lot of them are and the volume production then should show improvements there for sure.
Operator: It appears we have no further questions at this time. I will now turn the program back over to Andrew Littlefair for any additional or closing remarks.
Andrew Littlefair: Thank you, operator. Thank you, everyone, for joining us today, and we look forward to filling you in on the next quarter next year. Thank you.
Operator: This does conclude today's program. Thank you for your participation. You may disconnect at any time.